Operator: Welcome to the MPLX First Quarter 2024 Earnings Call. My name is Sheila, and I will be your operator for today's call. [Operator Instructions] Please note that this conference is being recorded. I will now turn the call over to Kristina Kazarian. Kristina, you may begin. 
Kristina Kazarian: Good morning, and welcome to the MPLX First Quarter 2024 Earnings Conference Call. The slides that accompany this call can be found on our website at mplx.com under the Investor tab. Joining me on the call today are Mike Hennigan, Chairman and CEO; Kris Hagedorn, CFO; and other members of the executive team. We invite you to read the safe harbor statements and non-GAAP disclaimer on Slide 2. It's a reminder that we will be making forward-looking statements during the call and during the question-and-answer session that follows. Actual results may differ materially from what we expect today. Factors that could cause actual results to differ are included there as well as in our filings with the SEC. With that, I'll turn the call over to Mike. 
Michael Hennigan: Thanks, Kristina. Good morning, and thank you for joining our call. Earlier today, we reported first quarter results. Our business continues to grow and delivered adjusted EBITDA of $1.6 billion and distributable cash flow of $1.4 billion, each an 8% increase year-over-year. In line with our commitment to return capital, the growth of MPLX's cash flow supported the return of $951 million to unitholders. Turning to the macro, the United States continues to be a low cost producer of energy fuels needed across the globe. Oil demand is at a record high globally. We expect oil demand to continue to set records into the foreseeable future. Forecasted outlooks for this year estimate 1.2 million to 2 million barrels per day of incremental demand over 2023, primarily driven by the growing need for transportation fuels. Our expectations on the long-term production outlook in our key basins remains unchanged. In the Northeast, longer laterals are resulting in higher volumes, highlighting the strength and opportunities we see across our footprint. We continue to expect volume growth in the Marcellus as well as the Utica, where producers are targeting economically advantaged liquids-rich acreage. In the Permian basin, crude prices remain attractive and associated gas production continues to grow as producers execute drilling and completion activities. In the first quarter, MPLX announced two strategic transactions. First, in the Utica, we enhanced our footprint through the acquisition of additional ownership interest in an existing joint venture and a dry gas gathering system. We have already seen growth in the rich gas window of the Utica and we see new producers moving into the region. Second, MPLX entered into a definitive agreement to combine the Whistler Pipeline and the Rio Bravo Pipeline project into a newly formed joint venture. The transaction expands MPLX's natural gas value chain, connects Permian supply to additional Gulf Coast demand, and positions MPLX for future growth opportunities. The transaction, subject to required regulatory approvals and other customary closing conditions, is expected to close in the second quarter. We remain committed to growing the partnership through our lens of strict capital discipline. In fact, over the last 3 years, MPLX holds a peer leading return on invested capital. The previously mentioned strategic transactions are a continuation of our approach as we seek to grow the cash flows of the partnership. We believe this is a return on and a return of capital business, and we'll continue to use our capital allocation framework to evaluate and optimize capital allocation decisions. We're confident in our ability to grow the partnership and are focused on executing the strategic priorities of strict capital discipline, fostering a low cost culture, and optimizing our asset portfolio, all of which are foundational to the growth of MPLX's cash flows. Now let me turn the call over to Kris to discuss our growth as well as our operational and financial results of the quarter. 
Carl Hagedorn: Thanks, Mike. MPLX's 2024 capital expenditure outlook of $1.1 billion is unchanged and includes $950 million of growth capital and $150 million of maintenance capital. Our 2024 growth capital outlook is anchored in the Marcellus and Permian basins. Our integrated footprint in these basins have positioned the partnership with a steady source of opportunities to expand, particularly around our natural gas and NGL asset. We continue growing these operations through organic projects, investments in our Permian joint ventures and bolt-on opportunities. In the L&S segment, progress continues on the Agua Dulce to Corpus Christi natural gas pipeline joint venture, which is expected to be in service in the third quarter of 2024. We're also progressing the expansion of the BANGL NGL pipeline joint venture to 200,000 barrels per day, which is expected to be completed in the first half of 2025. In the G&P segment, we're bringing new gas processing plants online to meet increasing customer demand. The Harmon Creek II gas processing plant was placed into service in late February, bringing our Marcellus processing capacity to 6.5 billion cubic feet per day. In the Permian basin, Preakness II is approaching startup and is expected to be online in May. Additionally, we are progressing the Secretariat processing plant, which is expected to be online in the second half of 2025. Once operational, our total processing capacity in the Delaware basin will be approximately 1.4 billion cubic feet per day. Outside of these strategic basins, the remainder of our capital plan is mostly comprised of smaller higher return investments, targeted expansion or start up of existing assets and projects related to planned increases and producer customer activity. Slide 6 outlines the first quarter operational and financial performance highlights for our logistics and storage segment. Adjusted EBITDA increased $72 million when compared to the first quarter of 2023, primarily driven by higher rates and growth from our equity affiliates. Crude and product pipelines and terminal volumes were down year-over-year, primarily due to start up planned turnaround activity in the first quarter of 2024. Due to the structure of our contracts with MPC, refinery volume changes had limited impact -- financial impact to MPLX. Moving to our Gathering and Processing segment on Slide 7. The G&P segment adjusted EBITDA increased $44 million compared to the first quarter of 2023, primarily driven by higher volumes. Total gathered volumes were down 2% year-over-year, primarily due to decreased dry gas production in the Utica and scheduled maintenance activities in the Southwest. Processing volumes were up 9% year-over-year, primarily from higher volumes in the Marcellus and Utica, driven by increased customer production. Focusing in on the Marcellus, by far our largest basin of G&P operations, we saw year-over-year volume increases of 10% for gathering and 7% for processing, driven by increased drilling and production growth. Marcellus processing utilization was 92% in the first quarter, reflecting the need for our Harmon Creek II processing plant, which was placed in service in late February. Fractionation volumes grew 4% due to higher ethane recoveries and higher processed volumes. Moving to our first quarter financial highlights on Slide 8. Total adjusted EBITDA of $1.6 billion and distributable cash flow of $1.4 billion, each increased 8% from prior year. During the quarter, MPLX acquired additional ownership interest in existing joint ventures and a dry gas gathering system located in Utica for $625 million and contributed $92 million for the repayment of our share of the Bakken pipeline JV debt due in April. MPLX also returned $951 million to unitholders through $876 million in distributions and $75 million in unit repurchases, ending the quarter with a cash balance of $385 million. As a reminder, the first quarter is typically our lowest quarter for project-related expenses. Like prior years, we anticipate these expenses will increase $30 million to $40 million sequentially in the second quarter, reflecting more favorable weather to undertake project-related work. Now let me hand it back to Mike for some final thoughts. 
Michael Hennigan: Thanks, Kris. In closing, MPLX has a strong history of growing the partnership's cash flows by executing its strategic priorities, all while maintaining strict capital discipline. We continue to aim for mid-single-digit growth rate over multiple year periods. And as you can see in our results, we have a strong start again to this year with adjusted EBITDA and DCF up 8% versus the first quarter of 2023. By deploying capital wisely, controlling our costs, and optimizing operations to get the most out of our assets, we've grown DCF by nearly 8% on a 3-year compound annual basis. MPLX is a strategic investment for MPC and as they each pursue growth opportunities, the value of this strategic relationship will be enhanced. By advancing our high return growth projects anchored in the Marcellus and Permian basins, along with our focus on cost and portfolio optimization, we intend to grow our cash flows, allowing us to reinvest in the business and continue to return capital to unitholders. In each of the last 2 years, we've increased our quarterly distribution 10%. The business is expected to continue to generate significant annual free cash flow after distribution, placing us in a strong position to continue to consistently grow our distribution. Now let me turn the call back over to Kristina. 
Kristina Kazarian: Thanks, Mike. As we open the call for questions, we ask that you limit yourself to one question plus a follow up. We may re-prompt for additional questions as time permits. With that, operator, we're ready. 
Operator: [Operator Instructions] Our first question comes from John Mackay with Goldman Sachs. 
John Mackay: I wanted to start on the buyback. I think it was the first since '22. Maybe spend a minute or 2 just elaborating on whether or not this is a one-off or maybe a restart of a more normal cadence. And then also how you're thinking about balancing this with potential distribution increases in the future? 
Michael Hennigan: John, thanks for that question. Let me start because we get that question often. I'll try and be as clear as I can. First off, it starts with generating cash. I mean, you've heard in our prepared remarks that our 3-year CAGR is about 8%, and our first quarter results on DCF and EBITDA were about 8%. So it starts with generating cash. And then the uniqueness to that cash is we kind of color code the cash into 2 buckets. Those buckets that's continuing, we think is going to be there through all types of markets, and I've called that blue bar cash flows. The cash flows that are there, intermittent, that could be there sometimes, not sometimes, I call red bar cash flows. So, understanding the type of cash flows that we generated is really important to go into our capital allocation framework. And the way I think about the red bar, red bar may not be there all the time, but it is a source of equity. Blue bar, I think of it as an ongoing cash flow that's going to support our distribution growth. And we've said a bunch of times that our preferred method of returning capital is primarily distribution growth because we primarily drive blue bar cash flows in our system. But having the flexibility with red bar for buybacks is also important to us. So when we put that all together, the way we think of our capital allocation framework is: number one, we're going to take care of our assets; number two is we're going to continue to grow our distribution, and that's driven by those blue bar cash flows; number three is we're going to look to invest and continue to grow earnings. And hopefully, you've seen our track record on capital discipline and what it's done to earnings. We're very proud of growing this size partnership at about 8% per year over the last 3 years, and it continued into the first quarter. And then the last piece is our buyback. And although it's fourth in the capital allocation framework, it's still a tool that we have at our disposal, and we continue to think about when that makes the most sense versus when it doesn't. So if you think -- if you step all the way back, we color code the cash flows, we prioritize blue, that's the way we run our business, stable, continuing cash flows that will be there all the time. Those are more targeted towards distributions. You've heard us say we've done 10% distribution increases the last two years, you've heard us say we believe we have strong financial capabilities to continue to grow our distributions, but we also have the tool of buybacks when we think it makes sense. I hope that was helpful. 
John Mackay: Mike, I appreciate that. Maybe on just following up on the wanting to continue to invest to grow, we've obviously seeing you guys lean a little bit more towards the kind of bolt-on deals recently with the 3 announced so far this year. Can you maybe just spend a minute there on general strategy and then maybe how you think about those competing with organic opportunities? And maybe how much capital you're willing to allocate in that direction? 
Michael Hennigan: Yes. Thanks, John. It's another good question. Let me start off and then I'll let Greg talk about this recent activity. So, in general, over the last couple of years, you've seen us mainly driving organic growth. That's where we see good return projects. Again, I always say they're not sexy, they're not big headline projects, but they're good return projects. And we've been executing those well, and that's driven growth. But we're also constantly looking at M&A or organic -- inorganic activities. And during this quarter, we were able to make a strategic transaction in the Utica. And I'll let Greg talk a little bit about the details. 
Gregory Floerke: Thanks, Mike. The Utica is interesting. We're really excited about what's going on there right now. We've had -- we've seen a lot of success over the last few years in the dry/lean part of the basin near the Ohio River and build out a substantial dry gas gathering system. But the rich gas area has not got as much attention, and that now is -- it's got a lot of great tailwinds behind it. We're really excited about it. The main things in the favor of the rich gas are the fact that there's a light oil window and a condensate window, the fact that right now we have a frac spread that favors liquids, whether in the crude oil producing regions or in the NGL heavy regions like we have in the Utica. We also have new drilling technology with long laterals, twice the length of laterals that we probably saw back in the day when the Utica was first developed. So you get essentially 2 or more wells in terms of lateral length for a proportionately less cost. We also have -- because of the early build out, we have existing infrastructure. It's fully integrated with our Marcellus system. It's connected to the same fractionation, all the same takeaway pipeline. So bottom line is, we're bullish about having a system with spare capacity in an area that now new producers are moving into and existing producers are moving their rigs to. So we're already seeing that growth. The Summit acquisition allowed us to further buy into this area where we're really bullish about. And we already -- we built the entire system and operated already, so we know it and we know the producers and the opportunities there. 
Operator: Next, we will hear from Manav Gupta with UBS. 
Manav Gupta: Mike, my only question here relates to that this Whistler Pipeline thing you just recently got involved with the JV looks very interesting, looks like a very good growth opportunity. Help us understand this project a little more in detail and why would this be a strategic fit for MPLX? 
Michael Hennigan: Yes. Thanks, Manav. I appreciate that question. I'm going to let Dave give you a little more detail on it. I would tell you in general, though, as we've been saying, we're concentrating a lot of our activity in our key basins. And Greg just mentioned a lot of what's going up in the Northeast. And I'll let Dave talk a little bit about what's going on down in the Permian. 
David Heppner: Manav, so let me dig a little deeper. So, as Mike stated, the Permian is, in addition to our other basins, one of our key focus basins. And this JV partnership, which is with MPLX along with WhiteWater and I Squared, as part of the existing Whistler JV, entered in that definitive agreement with Enbridge to strategically combine that JV with the Rio Bravo Pipeline project into this newly formed JV. So that's step #1. And the justification for that, while we monetize a small portion of our equity ownership in Whistler at a low double-digit multiple, the real key, it enabled us to build out -- continue to build out our wellhead-to-water growth strategy and enhancing our value chain from the Permian to the U.S. Gulf Coast. So think of it this way, that the Rio Bravo Pipeline project provides Whistler with that value chain connectivity to the Rio Grande LNG export of facility in Brownsville, Texas, which is not a lot different to the strategy around the ADCC Pipeline project that is under construction right now at the Cheniere's LNG facility in Corpus Christi. So it's that last mile connectivity to the LNG pull. So, as we look forward, both from our Permian supply that Mike touched on earlier and the U.S. Gulf Coast LNG demand, which we all anticipate to grow, this strategic partnership provides a strong platform and positions Whistler under the new JV to participate in this growth and the development of incremental pipeline projects which again, of course, will further enhance NPL's wellhead-to-water strategy. Let me be clear with that, that any potential projects that we look at going forward must provide two things, acceptable financial returns and the right commercial terms through our lens of strict capital discipline as we look at all projects, whether it be bolt-on, organic or these growth projects. So, hopefully, that gives you a little more color. 
Michael Hennigan: And Manav, since Dave gave you a little bit of detail on that project, why don't you talk a little bit about NGLs as well since we're talking about natural gas and what we're doing in the Permian. 
David Heppner: Sure thing, Mike. So very similar nat gas. We've been pretty public about our plans to expand our value chains in the NGL platform. And again, it's all about strengthening our competitive position through Ford integration. So think of it, from wellhead to the consumers. So back on the wellhead, Greg and his team with all our gas processing plants, we got our BANGL pipeline expansion project going. And so whether we extend these value chains independently or with partners, extended the water and have an export optionality as part of that strategy. At this time, we don't have any major updates to provide on the Texas City NGL frac and storage projects, but that is a project we continued to -- continue to evaluate. So if you recall on that project back in December of last year, we submitted our air permit application to the TCEQ for the NGL Frac and storage facility in Texas City, Texas. I want to be clear that filing these permits is one of the many steps we take in evaluation of the potential projects, and we'll continue to evaluate any commercial framework around those. Again, very similar to our nat gas strategy, acceptable returns, the right commercial terms through the lens of strict capital test will help us determine if we go that alone or do with business partners going forward. So hopefully that gives you a little more color on our NGL strategy, which I would say very similar to our nat gas strategy is through -- for MPLX is wellhead-to-water, participate in the whole value chain, both from equity and from commercial optionality. 
Operator: Our next question comes from Jeremy Tonet with J.P. Morgan. 
Jeremy Tonet: I want to come back to the banks of the river, if I could, and just how MPLX seems to have achieved mid-single-digit EBITDA growth historically. And it seems like the prospects are there for continued growth. And if I think about the Summit acquisition kind of these bolt-on acquisitions, I think of it as kind of one of the components of staying in that range, and it would be larger acquisitions that would drive you above the range. And is that a fair way of thinking about things here? And how do you think about, I guess, other -- the potential acquisition environment out there? 
Michael Hennigan: Jeremy, that's a good question. First off, let me correct you. The M&A activity that we do, even if it's on the smaller side, is not included or would be additive to our goal of driving for mid-single-digit growth. So we think of the mid-single-digit growth as our organic program in general. And then when these other opportunities come up through inorganic opportunities like we just talked about, that would be additive. So our base is always things that we can control, trying to compete for growth, Harmon Creek II, Preakness II, Secretariat. You just heard Dave talk about our natural gas pipeline strategy down in the Permian and NGL growth. All those things come into our base feeling about growing the partnership, at least mid-single-digit cash flows. When we do something like the acquisition of the JV partner in Utica that Greg talked about, we think of that as additive to our goal. 
Jeremy Tonet: Got it. That's very helpful. And maybe just digging in on that acquisition, I think the seller put out certain numbers around there with -- that implied certain EBITDA for the asset. And I was just wondering if you could provide any thoughts with regards to how -- what type of economics you're seeing with this deal and how that could maybe improve over time? 
Gregory Floerke: Jeremy, this is Greg. Yes, we really look at the Utica story as -- as I mentioned, we're very bullish about it. The rigs are there, the activity is coming up. We're already seeing growth. And we think this is a volume story, utilizing facilities that have existing capacity. So in an ideal situation, you would see new drilling off of -- even off of existing pads with no new investment. But even in the case of new pads, it's essentially well connects into our system and then we take advantage of existing truck pipelines compression in our processing and fractionation facilities that are already there with capacity. So we think there's upside in value related primarily to volume and not having to spend a lot of additional capital to capture that volume. 
Michael Hennigan: Jeremy, it's Mike. Just to add on to what Greg said, obviously we think the multiple is going to be better than what was put out there earlier. We're just cognizant of not putting our data out too soon. We just want to show it in the results and then we can talk about it later. 
Jeremy Tonet: Got it. That's very helpful. And maybe just kind of circling back to the point at the top there. You talked about as it relates to capital allocation, red bar, blue bar. I think there might have been some purple bar points in the past. But just wondering, as you think about, I guess, the potential red bar there and further, I guess, bolt-ons, would you look to retain more further to improve the balance sheet if there are future opportunities have materialized or is leverage low enough at this point, or is buybacks really kind focused for that? 
Michael Hennigan: Yes, Jeremy, we always say it's a good problem to have. We think we're in a great position on financial flexibility. Like you mentioned, the balance sheet is in good shape. We're generating excess cash beyond distributions and capital at this point. We also feel like we have different opportunities for us. And you're right. Thanks for that reference. Sometimes the cash flows are hard to debate and we sometimes call them purple. But in general, I'm hoping the takeaway is we're going to generate enough cash to put ourselves in a good financial flexibility position. That's where it all starts. And then we debate the color of the cash flows and how we think we can get the most shareholder value. We've been leaning more towards distribution because it's blue. And as you know, the way we run the business is to generate cash flows that we think will be there long term. So that's why they're mostly blue. I know people have been asking a little bit about our buyback strategy. And hopefully, when I answered John's question, I gave you a little bit more color around that. But -- so we'll have that flexibility. We have the financial flexibility for where we are. We're going to continue to look at our organic growth. We'll evaluate some organic as it comes along. And at the end of the day, all we're trying to do day in and day out is create more value for our unitholders. 
Operator: Our next question comes from Theresa Chen with Barclays. 
Theresa Chen: Going back to Dave's comments about the expansion in the Permian NGL platform, in relation to the Texas City frac and storage project, can you just help us think about how a long haul pipeline productivity solution could come about, and whether it would be independent or an extension of the, I believe, 42% UGI that BANGL has an EPIC NGL. And then also [ downstream ] from that, is there space in Texas City on MPC's Galveston Bay docks for LPG export opportunities if the Texas City frac and storage projects do come to fruition? And would it be the parent that would be marketing those volumes and taking the commodities risk? Just help think about how that value chain could play out. 
Michael Hennigan: Yes, Theresa, thanks for the question. I'll let Dave give a little more detail there. But you kind of laid out a lot of optionality that we have and we're going to continue to evaluate all the different options. But let me let Dave give a little more color. 
David Heppner: Yes, Theresa, I think Mike said it extremely well. There's a couple of key things to think about as we look at these large projects, multi-year value chain build out projects. One is how do we leverage the existing assets we have either in the ground or in the vicinity, number one. Number two, how do we leverage and incorporate existing partnerships and JVs we have such as BANGL. And then third is how do we leverage our parent company, MPC, back to Galveston Bay. And so as we look at all those and that's -- and we think through the scenarios and the options of both near-term build out and commercialization, but long-term value creation. Right now we're going through multiple scenarios. And as you can imagine, we want to make sure we look through all those both from a financial return perspective, near term, a commerciality and flexibility, and then also a long-term growth platform. So I think as you stated, there's a lot of pieces to that puzzle and we're in all the work of doing that right now. But we feel good about our options and our flexibility and now we're just trying to determine how we bring it to realization. Hopefully that helps a little bit. 
Theresa Chen: And maybe turning to the residue side, can you give us an update on the in-service timeline for Matterhorn? And given your partnership with Enbridge and WhiteWater and combining Whistler ADCC with Rio Bravo, would you be evaluating participation in another bullet residue pipe that is evidently necessary out of the basin come a couple of years? 
David Heppner: Yes. So I'll touch on Matterhorn and then I'll turn it over to Shawn. He can give a little more update. First of all, I think Matterhorn is planning to come on 3Q of this year. So I'll start with that. So as you think about clearing natural gas out of the Permian, you can think of Whistler, Whistler expansion, Matterhorn, you can think of ADCC, not that we're participating today, but you have Blackfin out there, and then you have Rio Bravo. So as you go forward, this is -- our view is that you've got 2 sides of the equation. You've got the pull coming from these LNG facilities down to the Gulf Coast, which are majority of them backstopped by 20-year take or pays, which is a nice long-term pull. And then you've got the growth platform that Mike touched on earlier out of the Permian. And you really look at those by the 2030 time frame, there's substantial growth profile. So to answer your question, whether it be continued expansions that we've done very similar to Whistler and Matterhorn or is it new pipes, I think you can maybe read the tea leaves that there is incremental capacity needed clearly with barrels out of the Permian to the Gulf Coast. 
Michael Hennigan: Teresa, it's Mike. I'll just add. The main drive between what Dave has mentioned as far as us doing these partnerships, et cetera, is to get to the very point that you just made. There's going to be more takeaway out of the basin. We want to participate in that, whether it's another residue pipe or not, and we're trying to position ourselves to be part of that. 
Operator: Our next question will come from Keith Stanley with Wolfe Research. 
Keith Stanley: First, just wanted to ask, can you talk to the conversion of some of the preferreds? It looks like it was a lot in Q1. And I just want to make sure, did that factor at all into the decision to buyback stock in Q1 since you had new stock coming into the market? First, I just wanted to ask, can you talk to the conversion of some of the preferreds? It looks like there was a lot in Q1. And I just want to make sure, did that factor at all into the decision to buy back stock in Q1 since you had new stock coming into the market? 
Gregory Floerke: You're correct. You did see some significant conversions happened during the quarter. I think with the investor base, in those units, they have that ability to do that, at their leisure quarterly. It did not have any impact on our unit buyback program. That -- kind of that capital allocation strategy is unchanged as Mike had hit on. 
Keith Stanley: Okay. Great. And sorry if I missed this, but for the JV buy-ins bolt-ons that you've done, can you say, Summit, it sounds like you were pretty excited about. Can you say if you initiated these transactions with partners or partners are looking to sell and came to you? I'm more curious just looking forward, are you optimistic there could be other opportunities? The company has a lot of JVs that potentially you could look at buying other partners' interests. Just any thoughts there? 
Michael Hennigan: Yes. Keith, I think you hit it on the head. We're excited about all of them. And we were able to kind of voice into the Summit, show some real numbers with first quarter activity. When it comes to the evaluation of additional opportunities, we're evaluating them all. The good thing with these types of acquisitions, we're very familiar with the assets and we're very familiar with the partners. With all of these opportunities though, we view them with the lens of strict capital discipline. So from our perspective, it has to be at the right value for us and our unitholders. 
Operator: And our last question will come from Neal Dingmann with Truist Securities. 
Neal Dingmann: My question a little bit on what you've been talking about on just the return of capital framework post to SMLP. I'm just wondering, were you all suggesting that sort of post this, you would continue -- you would consider substantially boosting that DPU materially again or even more buybacks or would you consider even a sizable acquisition? I'm just wondering how you're sort of thinking about things post this. 
Michael Hennigan: Yes, it's all of the above. So, hopefully, we've been clear that we're going to continue to generate more cash, we're going to grow the cash flows. As a result of that, we're going to continue to increase the distribution as our primary return of capital. We're going to look at buybacks as part of our capital allocation framework. We're going to continue to invest organically and then we're going to look at the inorganic stuff that's available. I'm much more of a believer in the organic opportunities, because they get us to higher return, more efficient capital, et cetera, and that's what you've seen over the last couple of years in general. But like I said at the start of this, it all starts with growing cash flows and whether it's doing it organically or through some of these bolt-ons that we've talked about. At the end of the day, grow the cash flows, invest wisely. That's why I always say it's a return on and a return of business. And then I'm a big believer in return capital to our unitholders. So hopefully, we're going to continue to show you that we're going to grow that distribution continually over time meaningfully as you've seen over the last couple of years and that's certainly our goal. 
Neal Dingmann: No, that's very clear. Just a quick follow-up on the Marcellus gathering. It's really nice to see another significant year-over-year increase there on your last quarter. I'm just wondering what -- make sure I understand what's sort of the capacity situation there as it appears that area continues to be positively trending. I'm just wondering is there still potentially more upside as you've been seeing? 
Gregory Floerke: Yes. We do have additional upside, but we run that system at very high utilization as you've seen. We're over -- we continue to be over 90% utilized on processing in the Marcellus and that really matches up with the -- with our Liberty Gathering System capacity. We don't -- we only gather for some customers in Marcellus. We process for a lot of customers. We don't necessarily gather for all of them. But -- so when you see gathering numbers, it's typically our Liberty System in Washington County and we do try to add capacity just in time, to match the processing growth 
Michael Hennigan: The only other thing that I would add Neal is we've anticipated the market has for a long time of MDP coming online up in the Northeast. We think that will be a significant change to the activity up there, 2 DCF pipeline coming on to what has been a constrained area for some time. And then as Greg mentioned, we're pretty excited about the renewed interest in the Utica, particularly the rich area, as liquids compared to the dry price is certainly pushing people more into the liquids rich area. So, it's one of our key growth areas, it has been, will continue to be. I think you've heard throughout the call today, Greg talked a lot about what's happening on the gas side of the business up in the Northeast. Dave talked a lot about what we're doing as far as natural gas expansion and NGL expansion down in the Permian. So we're pretty confident and optimistic that our plan is working, our strategy continues to be good and we're going to grow cash flows and return capital to unitholders. So that's how we feel at this point. 
Kristina Kazarian: All right. With that, thank you for joining us today, and thank you for your interest in MPLX. Should you have additional questions or would like clarification on any of the topics discussed today, members of our Investor Relations team will be available today to help you with your call. Thank you so much. 
Operator: Thank you. That does conclude today's conference. Thank you once again for your participation. You may disconnect at this time.